Operator: Good morning, and welcome, everyone, to BT Group's results presentation for the half year ended 30th of September 2025. Presenting today is Allison Kirkby, BT Group's Chief Executive; and Simon Lowth, BT Group's CFO. Following the presentation, we'll be having a Q&A session. I would like to make everyone aware that this event is being recorded for replay purposes. Before we start, I'd like to draw your attention to the usual forward-looking statements in our press release and our latest annual report for examples of the factors that could cause actual results to differ from any forward-looking statements we may make. Both the press release and the annual report can be found on our website. With that, I'll now hand over to Allison.
Allison Kirkby: Hi. Good morning, everyone, and welcome, and thank you for joining us for our half year results. In terms of the presentation this morning, I'm going to start by setting out the progress we've made against our strategic priorities so far this year. Simon will update on the financials, and then we very much look forward to taking your questions after a quick recap from myself. So in summary, it's been another period of solid delivery despite the competitive markets we operate in, with very clear progress in the U.K., while we've also worked hard to manage headwinds from our accelerated migration away from legacy voice products and in our international markets. Let me begin with some highlights. Our leadership in fiber, 5G and secure networking has strengthened further since the start of the year. Openreach achieved another set of records on full fiber build and again on take-up with even better efficiency. Consumer gained customers in all its key segments, broadband, mobile and TV and grew its number of converged households. Business is showing a stabilizing financial performance for the first time in many years, and we continue to press ahead with our GBP 3 billion transformation program, offsetting some of the cost headwinds we are facing, including the higher labor-related costs incurred since the beginning of this tax year. In addition, we have agreed or completed 4 targeted disposals outside of the U.K. and having carved that out with dedicated leadership, we are accelerating the reshaping of our international business. As a result, we are today reconfirming all of our guidance metrics for the year and beyond, including our target of GBP 2 billion in normalized free cash flow for next year and GBP 3 billion in fiscal year '30, and our interim dividend is rising 2%. As you will recall and as I set out in May, our ambition is to become the U.K.'s most trusted connector of people, business and society, guided by our purpose to connect for good. Our strategy focuses on 3 things: building the best, most trusted digital networks, connecting customers so that they thrive as we grow in a digital world and accelerating our modernization to restore leadership in everything we do. By the end of the decade, this strategy will have delivered for all of us, including meeting our financial commitments of service revenue growth, EBITDA growth ahead of revenue and a doubling of this year's normalized free cash flow. So how are we doing so far this year? Well, I'm pleased that we continue to deliver on the key levers that will realize our short, medium and long-term ambitions, specifically a focus on the U.K., building the U.K.'s only nationwide digital backbone, a growing customer base as a result of a much improved customer and product experience, all enabled by a radically simpler and better BT. On build, our nationwide reach expanded further. The Openreach team hit a new record of 2.2 million homes passed. On mobile, we won best network with RootMetrics for the 12th year in a row, and we lifted our 5G+ coverage by 23 percentage points to reach 66% of the U.K.'s population. And today, we're announcing a new landmark agreement with Starlink so we can offer the best broadband connectivity in the hardest places to reach in our country. On Connect, we connected a record 1.1 million Openreach customers to full fiber, and we've again lifted our market-leading take-up rate, which is now at 38%. Our consumer customer base grew again with customer growth in broadband for a third quarter in a row and further growth in both mobile and TV. Our decision to adopt a multi-brand strategy is clearly paying off, allowing us to reach more market segments without diluting our premium position. Customer satisfaction also rose again with growth in converged homes too, building customer loyalty and over time, lifetime value. And our sales orders in business grew with clear demand coming from British businesses for more secure and more resilient networking solutions. And finally, on Accelerate, our cost transformation is allowing us to offset margin pressures as they arise and still grow our EBITDA, and there is much more to come. We've achieved GBP 1.2 billion in annualized cost savings in the first 18 months of our 5-year program with particularly solid progress in our networks and digital units during this first half of this year. We have exited businesses outside the U.K. that do not fit with International's mission to serve only multinational companies. And in international, now that it is carved out, we have clearer and more accelerated plans to simplify our product portfolio and reshape our office footprint. Finally, we are continuing to carefully migrate customers off the PSTN ahead of closure in January '27, investing to support the elderly and the vulnerable in particular, and we're leading in safety with the launch of our Safer SIMs product for children as we build the best, most trusted networks for families. On the next slide, it's worth stepping back to look at the longer-term achievement of our Openreach and our networks teams. We are the only operator building fiber at scale with nationwide reach. And we are well on track to achieve our target build of 25 million premises passed by December '26, so just over a year from now, with an ambition to reach 30 million by fiscal year '30, assuming a stable and pro-investment environment. And we remain on course, therefore, to earn good returns for our shareholders and to create one of Europe's most attractive fiber infrastructure assets, whether in a competitive market or one regulated under Ofcom's fair bet. Why is that? Well, returns in network businesses depend on building at the right price and quality with the best take-up and a reasonable cost of capital. We compare very well on all 4 of those metrics, and we continue to build within the cost ranges we aimed for at the beginning despite the inflation we saw during the period with excellent quality and resilience. On mobile, we have a growing 5G connected base with now 89% population coverage, 66% 5G+, which is our name for 5G stand-alone coverage, and we're well on track to reach 99% 5G+ coverage by fiscal year '30, almost 4 years ahead of the other networks. We are clearly super proud of the network credentials we've built over the last 12 years and before that. But I can assure you, we are not resting on our laurels and are always working on ways to improve customer experience, including now the deployment of the millimeter wave spectrum we purchased in mid-October for high-density locations and in reapplying what we learned from uniquely running the emergency services network into building the most trusted and resilient network experience for everyone. Moving on to each of our customer-facing units. And in turn, let's start with Openreach. As I've said, we continue to build full fiber at pace and now pass over 20 million premises, of which we had already connected 7.9 million at the end of last week. Broadband line losses were 242,000 in the quarter, similar to Q4 last year and in line with what we expected. Within that, we estimate that the broadband market remains either flat to slightly down as new homebuilding is still running around 100,000 a year below what the government's target was. Meanwhile, competitor losses for Openreach are a little changed half-on-half, but with a tilt towards wholesale operators rather than retail where we're seeing some declines. Quarter-to-quarter, there's always going to be some natural variability based on competitor build and promotions and the orders that we have coming into the quarter. But the guidance we gave in May of last year's second half run rate continuing for the full year remains unchanged. But I do want to point out, and it's worth saying that October has progressed well. After quarter end, we launched new offers to stimulate fiber migration, which our CPs have welcomed, and we made good progress to be ready to launch XGS-PON next year. In our operations, our repair volumes decreased 13% year-on-year due to the shift to full fiber, and we reduced our headcount by 11% year-on-year as we upgrade our network and transform our operations and as we ensure we've got the right resourcing for when the fiber build steps down during next year. Thanks to the strong demand for our fiber and the impressive build and connect progress made by our Openreach team, we're maintaining steady revenues with ARPU growth of 4%, offsetting line losses and good growth still in Ethernet revenues of 5%, and we're delivering continued EBITDA growth. Moving to Consumer. Our strategy is clear. Having invested in and built the U.K.'s only nationwide networks, we intend to get back to sustainable service revenue growth. This starts with having a growing customer base by leveraging convergence, our breadth of household relationships and all 3 brands to ensure we compete carefully on value, not just price. So it's good to report that our consumer business is continuing to win customers in the first half of this year despite the competitive pressures. Convergence, multi-SIM household tariffs and leveraging all 3 of our iconic retail brands has helped us grow the broadband base for a third consecutive quarter, our mobile base for a second consecutive quarter and our TV base for the fifth quarter in a row. We are achieving excellent levels of fiber take-up with almost half of our broadband base now on full fiber. Broadband continues to grow in our mobile base, and so our converged customers have grown to almost 26% of all broadband and mobile customers, which is up almost 3 points in the last year. And we're seeing a steep increase in customers moving on to EE One, our main convergence offer. All of this, plus our renewed focus on customer experience has helped improve customer satisfaction, which was flat or up in all 3 brands in the last 6 months, resulting in stable churn rates at relatively low levels across mobile and broadband. While the customer base grew, service revenue was basically stable, excluding a 1% drag from legacy voice. Admittedly, there has been some ARPU pressure, but this is mainly a result of coming off the high price rises over the last few years into a more competitive market. As inflation stabilizes and we move towards pounds and pence, this sawtooth effect should dissipate. And the equipment sales market has been slower, too, as consumers now keep their handsets for 48 months, hence, why total revenue was also down in the period. But we're now seeing excellent performance by EE on recent new device launches. At EBITDA, we were able to offset almost all the lower revenue and the higher input costs from Openreach with disciplined cost control. Additional headwinds from the rise in national insurance and national living wage, combined with the ongoing transition to digital voice accounted for over 2/3 of our EBITDA decline. But with the progress made in the first half and the run rate we're now seeing, we remain confident that Consumer will, as it did last year, return to year-on-year service revenue and EBITDA growth in the second half as a result of the levers I just mentioned, customer experience, convergence and our multi-brand strategy. Moving to business now on Slide 10. As you well know, since the start of the fiscal year, we've focused business now on the U.K., improving our ability to develop and deliver the best products and services for U.K.-based companies across the private and public sectors. The levers to growth and transformation remain the same, simplifying our product portfolio, migrating customers off legacy systems and products and radically improving customer journeys and satisfaction on the back of digitalization of our processes and our journeys and through secure and resilient by design products. Our delivery in corporate and public sector improved with sales orders up 16% year-on-year, including new business in the industrial sector. In broadband, we increased our fiber connections by over 40% and our 5G connections by over 30%. Net NPS also improved. Our modernization agenda continued with another 10 products retired in the half year, taking us below 200 products, down by 1/3 in just 2 years and units on legacy networks fell by almost 40%, a nearly GBP 0.5 million reduction. Clearly, it's still early days for John and the team in business, but I am pleased that in the half, the financial performance was more stable, especially considering the drag from legacy voice is still sizable. We have a robust pipeline in corporate and public sector and have launched new offers for smaller businesses, reinforcing our most trusted status including last week's Cyber Defense exclusive with CrowdStrike and our announcement just yesterday to place business experts in all of our high-street stores. I'm confident that BT Business is at the start of its long-awaited turnaround. Moving on to transformation on Slide 11. We're making solid progress against our transformation agenda. This includes GBP 247 million of run rate savings delivered in the past 6 months, taking us to GBP 1.2 billion achieved in the first 18 months of our 5-year program. We continue to drive most of the cost savings from four key programs: shutting down legacy networks, simplifying our products, scaling the use of fewer shared platforms and deepening our data and AI capabilities. With respect to what happened in H1, while we migrated over 1 million customers away from legacy networks, we reduced our energy consumption by 54 gigawatt hours or 5% year-on-year. We cut the number of applications we use by nearly 20%. And as a result of all of these initiatives, our total labor resource dropped by 5,000 in the half across all divisions. Now with the arrival of our new Chief Digital Officer, Peter Leukert, on the 1st of September, I know that we will build further on this progress. No pressure, Peter. But part of this will be to ensure we take full advantage of the capabilities of AI, where we see significant potential, particularly in better and more efficient customer care, higher, more personalized marketing velocity and greater efficiency across all areas of our corporate functions, including the Investor Relations function. Now turning to the transformation of international. We have successfully agreed or completed our targeted disposals. This is the end of a loan process that began back in 2019, but which had paused in recent years. From 1st of July, international has been carved out, giving it much greater strategic focus and clarity to become the global leader in secure multi-cloud connectivity anchored by next-generation platforms, Global Fabric and Global Voice. There is naturally a transition period between moving from the existing MPLS-based services, to the new Global Fabric network. But having carved the unit out, we're now accelerating our plans to reshape it, including a reduction in the number of office locations and in radically simplifying the product and service set. This will help deliver EBITDA growth from next year and ensure that in the midterm, international is no longer a drag on group cash flow, allowing for clearer optionality for future partnerships, which we still believe are possible. With that, let me now hand you over to Simon, who will talk you through the financials in some greater detail. Over to you, Simon.
Simon Lowth: Allison, thank you very much indeed. So I will take you through our group level results before then explaining the performance of our customer-facing units in more detail. First half U.K. service revenues was GBP 7.7 billion. That's down 1%. Now this was driven principally by a reduction in legacy voice revenues of about GBP 100 million. Price pressure in retail fixed and mobile was largely offset by growth in our retail connectivity bases and Openreach revenue. First half total adjusted revenue fell by 3% to GBP 9.8 billion, in addition to the lower U.K. service revenue, this was driven by lower sales of U.K. equipment, particularly mobile handsets and by lower international revenues. We reduced our operating costs by 3% and due to the strong progress of our cost transformation programs, supported by tight expenditure controls. And as a result, adjusted EBITDA in the period was flat at GBP 4.1 billion. Adjusted EBITDA in our U.K. businesses, excluding the international unit, that increased by 0.5%. Reported CapEx increased by 8% or GBP 171 million to GBP 2.4 billion. That was driven by a higher FTTP build and provision in Openreach as we ramp up our build to 5 million premises this year and then drive take-up of our fast-expanding FTTP footprint. Openreach has continued to drive efficiencies in its unit cost to build and provision through engineering innovation and dynamic management of the supply chain. Our build and provision costs have consistently been within the ranges we've set despite the significant inflation over recent years. Cash CapEx was slightly higher than reported CapEx due to the timing of capital creditor payments and about GBP 60 million worth of grant funding gain share. Normalized free cash flow was in line with our plan at GBP 408 million. This was GBP 300 million lower than last year due in largely equal measure to higher cash CapEx, the prior year tax refund and reduced working capital funding due to lower handset volumes. We remain confident of our outlook for GBP 1.5 billion normalized cash flow in the full year. As Allison just announced, our interim dividend is up 2% year-on-year to 2.45p per share, in line with our policy of paying 30% of the prior year's full year dividend. The IAS 19 pension deficit fell to GBP 3.8 billion from GBP 4.1 billion at the FY '25 year-end. Scheduled contributions of just under GBP 800 million were offset by a decrease in credit spreads. The IAS 19 deficit does not drive our cash contributions. These are determined by the actuarial valuation, which will be determined at the triennial review next year. Moving now to performance of the customer-facing units. Openreach revenue was flat year-on-year at GBP 3.1 billion, inflation-linked price rises and the increasing FTTP mix in broadband were offset by the lower broadband customer base. Openreach EBITDA again grew ahead of revenue, up 4% to GBP 2.1 billion. We continue to reduce our operating costs through a combination of labor efficiencies and lower repair and energy volumes as we transition to FTTP, offset by inflation in pay and noncommodity energy costs. Consumer service revenue was down 1%, and that's the same as last year to GBP 3.9 billion. ARPU declined, reflecting the higher prior year comparator and competitive markets, combined with reduced legacy voice revenues as we migrate off the PSTN were only partially offset by the stabilizing broadband base, growing mobile base and increased FTTP mix within broadband. That's now up to 45% of the base. We will continue to compete to defend and where we see value, grow our customer base, and we will protect and grow our margins through cost transformation. Consumer total revenue declined by 3% to GBP 4.7 billion due to the service revenue and reduced sales volumes in the mobile handset market as customers retain their devices for longer and with many of our own customers already on 3-year Flex Pay contracts. Consumer EBITDA fell by 4% to GBP 1.3 billion. Our transformation programs and our tight cost controls successfully mitigated most of the gross margin pressure from reduced revenues and the higher Openreach input costs. However, as Allison said, we were impacted by the significant increases in national insurance and the national living wage and by some additional costs incurred in the accelerated migrations to digital voice. These headwinds will be progressively offset with cost reduction. And in the case of the digital voice migration, will end with the closure of the PSTN as we move into FY '28. Business service revenue was GBP 2.4 billion. That's down 1% driven principally by lower voice revenues as we migrate off legacy voice to voice over IP. Service revenues in connectivity, secure networking and Managed Services were broadly flat with some growth in SMB and wholesale, offsetting a decline in CPS. Business total revenue fell by 2% to GBP 2.6 billion with lower equipment sales adding to the service revenue decline. Business EBITDA was down 1% to GBP 647 million, with the impact of lower revenues, partially offset by cost transformation and the benefits of cost phasing, which reversed in the second half of this year. International revenues were GBP 1.1 billion. Revenue declines in businesses whose sales either been agreed or completed accounted for about 4 percentage points of the 9% fall and adverse foreign exchange accounted for a further 1 percentage point. The remainder was driven by legacy product declines on the renewal of several managed services contracts. International EBITDA declined 27% to GBP 66 million due to the lower revenues, cost inflation and the increased investment in Global Fabric, all offset partially by transformation programs and tight cost control. As Allison has said, we're accelerating our restructuring and our cost transformation programs in international to ensure that the business moves rapidly to generate positive cash flow. We expect to complete all of the announced divestments within International before the end of this financial year. We don't anticipate these divestments will have a major impact on EBITDA and normalized cash flow in either FY '26 or FY '27. While the divestments will have some impact on total revenues in FY '27 and beyond, which we will share when all disposals are complete, there will clearly be no impact on our U.K. service revenue. And with that, I'll hand back to Allison to conclude.
Allison Kirkby: Thank you, Simon. So as I said earlier, we're reconfirming the fiscal year '26 outlook, which we gave in May of revenue around GBP 20 billion, U.K. service revenue of between GBP 15.3 billion to GBP 15.6 billion, adjusted EBITDA between GBP 8.2 billion and GBP 8.3 billion, CapEx at GBP 5 billion and normalized free cash flow of around GBP 1.5 billion. And we expect, as last year, that revenues in the second half of this financial year will be slightly stronger than the first half. Our outlook beyond fiscal year '26 remains unchanged for all metrics and in all years, and we're confidently progressing towards our BBB+ credit rating target. So to conclude, our ambition to create the U.K.'s most trusted connector of people, business and society is on track. The pace in Openreach is exceptional. We are winning customers and consumer across all key segments. Business is showing greater stability in the U.K. as we reshape our international operations, and we are diligently addressing our cost base quarter-on-quarter, year-on-year. Of course, there's still a huge amount to do to accelerate our transformation, keep differentiating our brands and propositions and to improve our delivery for all our customers, but we have the team and we have the plan to succeed and to create a better BT for all. So thanks for listening. We'll now move to Q&A, which will be audio only, and please we only have just over 30 minutes if you can try to keep it to 1 question each, that will leave time for everyone. First question, please.
Operator: [Operator Instructions] Our first question comes from the line of David Wright from BofA.
David Wright: So my question is just around consumer. Just trying to understand how you are managing to grow that customer base without obvious excessive, let's say, ARPU pressure in what is a very competitive and increasingly competitive environment with, I think it's fair to predict building macro pressures? And underlying that, you have flagged this new drag from voice transition, which is weighing on the EBITDA of consumer, which was definitely a little bit light of our expectation. It looks like that's a trend through calendar '26. Are you able to give us any idea of the voice revenues in absolute terms that we can kick around here, like you used to do with the business, B2B back in the day? That would be super useful.
Allison Kirkby: Okay. Thanks, David. I'll kick off and then I'll pass to Simon for some of the final parts of that question. Listen, how are we managing to grow our base and get back to sustainable revenue growth. This is -- our strategy has always been to get back to sustainable service revenue growth. That starts with a growing customer base, which, quite frankly, was in decline for far too long because we weren't properly leveraging all of the tools at hand. So how are we doing it? In a thoughtful, value-focused way is we're leveraging all three of our brands. We weren't doing that before. And that limited our potential, particularly with the Plusnet brand to address the value segment but protect our premium brands of BT and EE. So leveraging all three brands is the first lever that's having an impact. The second lever is convergence. Convergence gives great value for money and locks in customer loyalty and customer lifetime value. And EE is doing a fantastic job at convergence and driving multi-SIM tariffs into the household, which is helping us defend our mobile base against the growing value segment without it being overly all dilutive. And then we are always just improving our customer experience all of the time. So -- but of course, it is a price-competitive market, but we are in markets that customers need. Our markets are flat. We offer great value for money. It's becoming better all of the time because of the migration to fiber, the migration to 5G and us offering better converged services, whether it be a great new flexible TV product or multi-SIM tariffs on the back of the EE proposition, and that's how we're managing all of it. From an ARPU point of view, if you strip out the voice that was bundled into some of our broadband packages, we're actually seeing underlying broadband ARPU going up slightly. And mobile, as I said, some of it is because of coming off of the high price rises of a couple of years ago, but a slight shift into SIM-only and those multi-SIM tariffs in the household puts a little bit of pressure on ARPU, but we're holding up well. But as I said, our strategy has always been to get back to sustainable service revenue growth, and that starts with our customers. In terms of the drag from voice, I called it out as 1%. We've really started ramping up our migrations now. And we're actually investing in that to do it in a thoughtful way, particularly for vulnerable and elderly customers. That's why you see a little bit in the OpEx line in the period. But that goes away as of January '27. So it's a short-term headwind. I don't know whether we've not put any numbers on it, Simon, but do you want to comment?
Simon Lowth: No. I mean I think David, what I described was about GBP 100 million total impact of legacy voice to our revenues in the first half of the year, and that comes from consumer sort of Solus voice customers and voice plans on top of broadband. It comes from the traditional voice and business. And also, of course, there is some external Solus voice lines in Openreach. That's the GBP 100 million. And I think as we close down the PSTN, you can see that we're going to face that sort of drag over the next 18 months as we move through to closure of the PSTN. In terms of the consumer share of it, I mean, you can, I think, figure that out for yourself when you look at the number of Solus WLR lines in Openreach, you can derive that, and you'll know that consumer accounts for much of that.
Allison Kirkby: And one of the things I just want to call out, David, is consumer are doing a fantastic job of migrating our broadband customer base to fiber. Almost half of our customer base now is on fiber. So kind of record take-up, and that's just making those customers even more loyal. And we're giving them great value for money because it's a great product.
Operator: Our next question comes from James Ratzer from New Street Research.
James Ratzer: So hard to keep it to one question, but I will try. So Allison, in your remarks talking about kind of Openreach line losses, you were calling out to kind of change in the balance you're seeing between retail alt-net losses may be improving a little bit, but at the same time, now wholesale migration increasing a little bit. And so there's always the chance that could get a little bit worse if the alt-net sector finally can consolidate at some point. So I suppose really where I'm going with this is, do you think FY '26 marks peak line losses for Openreach? Or do you think actually things could get slightly worse in FY '27?
Allison Kirkby: So listen, James, we are doing 4 things, and then there's a fixed lever that we fundamentally believe will defend our base and reduce the line loss pressure over time. The first thing is we are the only real builder at scale and pace in the country now. We're the only one building nationwide. And what -- based on the estimates that we see, we reckon alt-net build is down by at least 40% year-on-year. And we are accelerating our build every quarter, every half on the way to 25 million by the end of next year. And when we've got to that 25 million, that basically means we have overbuilt all of our original VDSL network by full fiber. Take-up, just as we are building at pace, we're provisioning at pace. We've now built a provisioning machine that can provision up to 60,000 homes and premises a week. And that is why despite us building at pace, we're also ramping up our take-up rate to market-leading rates every period. The next lever we're pulling is quality. We are building at the highest quality, and we are the most resilient. In storms, we see that we recover faster than others. And the quality of our fiber network is encouraging our CPs to encourage further take-up and there's clearly demand for it, having now converted almost half of BT Retail's consumer business and what we're seeing from our CPs. The fourth lever we then have is how -- since there is demand, the country, the government want take-up. We've put some new migration offers in the market because the demand is there and our CPs want it. And we're encouraging faster migration onto our fiber products. So those 4 levers, we believe, will, in time, reduce the impact that we've had from heightened line losses. And then the fifth lever is the market is going to return to growth at some point. Housebuilding is now as low as it was during COVID. The government has an ambition to grow houses. The country needs it, and that will stimulate growth again. On your comment on the tilt from retail to wholesale, as I mentioned, build is down. The wholesale competition was not unexpected that we've built it into our plans. That's why we're very much sticking to our guidance for the year. That wholesale footprint at the moment doesn't seem to be in growth. It's certainly not growing at the rate we are. A lot of that wholesale footprint is also in very competitive areas where we are competing. And so we also expect that since we are the one building at pace, and we are provisioning at pace, and we've got the highest quality, most resilient product out there that will all benefit us in time.
Operator: Our next question comes from the line of Andrew Lee from Goldman Sachs.
Andrew Lee: I just had a question on costs and cost efficiencies. I think you called out that you've done a good job in reducing capitalized labor costs. And you've also -- as you laid out, you've done almost half of your 5-year cost plan in 18 months. So I just wanted to ask, is this you picking off low-hanging fruit and a pull forward or phasing thing? Or are you finding new areas of efficiencies versus what you saw when you set out on this cost-cutting program. Just kind of a bit more of an insight in terms of is this just an acceleration and pull forward? Or are you finding greater opportunities to cut costs? And I think you laid out in quite a lot of detail on the call exactly where this is coming from. But if you could maybe pick out some of the incremental areas where you're finding efficiencies, that would be great.
Allison Kirkby: Yes. I'll let Simon give you more detail, Andrew. It's not a pull forward. We're just doing an outstanding job, particularly in Openreach and in networks. And there is definitely more upside to come from AI, but maybe you want to take a more fluid answer to that question, Simon?
Simon Lowth: No. I mean, I think, Allison, you captured it in that we set out a cost transformation program. We're delivering that cost transformation program to our plan. We're moving, Andrew, possibly a little bit faster. The areas that we're able to drive some acceleration, firstly, I think that in Openreach and in the networks business, we're performing very strongly in terms of driving our build unit productivity. We've done a lot of good work on the supply chain and procurement. And so that's giving us a little bit more upside than we'd anticipated. I'd also say that the structural cost efficiencies, we keep working at that. And each year, we find further opportunities to improve some process efficiencies within our various processes. I think the opportunity that we're still beginning to build into the process and the transformation does come from AI. The sort of tools and capabilities that, that brings is something that we do think over time, brings us further opportunity, and we'll develop that over the coming year or two.
Operator: Our next question today comes from Karen Egan from Enders Analysis.
Karen Egan: So my question is about the alt-net sector. So given the press reports that a number of alt-nets are for sale and quite a few others appear to be under quite considerable financial distress. Would BT be willing to be the buyer of last resort to prevent assets from being stranded if other buyers can't be found?
Allison Kirkby: Okay. Well, our strategy is clearly to build organically our own nationwide networks and make them the most trusted, the most resilient and the highest quality. And that's what our capital allocation is very much focused on, Karen. Of course, when smaller assets become available for sale, we are approached, we take a look. But at this point in time, we're very much focused on delivering on what we promised for our owners when we embarked on this journey so that we give them a good return on investment on the 25 million build that we've already committed to. And -- but as opportunities arise, we'll always take a look if we believe it is an economically good and sensible decision relative to other capital allocation choices.
Operator: Our next question comes from Joshua Mills from BNP Paribas.
Joshua Mills: I was going to come back to some of the comments you made about the Openreach line losses in the broadband market. And you gave a very clear explanation of the 4 levers you have to pull. I guess the one that's not within your own control is housebuilding, which has been significantly lower than expected. It's below government targets, but governments often missed targets. So my question is, when we look at the overall growth in the U.K. broadband market, which you said was flat to slightly negative, how much lower is that relative to your expectations when you provided midterm guidance last year? And given how much linkage there is between Openreach line losses and overall growth in the U.K. broadband market, is there a point in time when you need to see the U.K. broadband market return to growth in order to hit your financial targets for 2027 and 2030? Or do you believe that those numbers are still achievable even if we see flat to slightly negative growth in U.K. broadband overall?
Allison Kirkby: Yes. Great question, Joshua. No, listen, the broadband market is developing in exactly the way we expected it to as we predicted this time last year. We have not banked on a growth in housebuilding into our plans for the next few years. So if there was a sudden surge in housebuilding, that will bring upside to the guidance and the plans that we are investing behind. We're very much -- when we update our plans, we are cautious about assuming for growth, but it will come. The U.K. relative to other European markets still has relatively low fiber take-up penetration based on how we're seeing take-up demand, government support for that, when the housebuilding returns, that will be upside to our current plans. If you go way back in time, we clearly had planned for more housebuilding, but we've offset that with other levers, but it certainly wasn't assumed in the guidance that we gave in May. And Simon, maybe you want to build.
Simon Lowth: No, I was going to say that absolutely, when we've set out the financial guidance for the midterm, that was based upon a view of the broadband market that we see before us today. But I think Allison, you're absolutely right, back in sort of the early 2020, '21 when we set out the FTTP investment case, as many of the people on the call recall, we did expect higher growth in the broadband market. However, we have more than offset that through -- in terms of the returns on the business case through lower cost to build and provision, the lower service cost because of the faster take-up and a somewhat higher ARPU mix in terms of speed tiering. The other point I would make is that one of the drivers of the weaker broadband market has obviously been not just we talked a lot about alt-net churn, but also customers who are experiencing today relatively low broadband speeds where we still got copper. And we're taking active steps to address that. You saw the Starlink partnership today. But in addition to that, as we roll out FTTP, we provide faster, more reliable broadband in these communities where we will also, I think, see some abatement in terms of the reduction in the broadband market. So I think that's another positive driver for us.
Operator: Our next question comes from Max Findlay from Rothschild & Co.
Max Findlay: I just have a couple of questions on consumer. So firstly, and following on from David's earlier question about your net adds performance. I was wondering if you could add more color about front book pricing generally in the market. Have you noticed any change in promotional intensity and front book pricing generally over the past quarter? And do you expect incremental pricing deterioration in broadband given what appears to be the weaker performance of the retail? And secondly, a recent FT article suggested you might reenter the budget mobile market by reintroducing your own budget mobile brand or purchasing an MVNO. Would you be interested in reentering the budget segment so soon after sunsetting Plusnet Mobile? And if so, what has changed for you to consider this strategy switch?
Allison Kirkby: Thanks, Max. On your front book pricing question, what you are seeing is competitive pricing on higher speed broadband levels. And we are competing very well with those. So what you're -- as Simon was just talking about, there is real demand for upgrading speeds to households. And so the front book pressure is a little bit more on higher speeds rather than the lower speeds, which is actually positive for market development over time because a higher speed broadband customer, particularly on fiber is going to be less likely to churn over time as well. So that heightened a little bit over the summer, but it's not got any worse in recent periods. And it's that heightened demand for higher speeds and migration to fiber that has meant our CPs, the Openreach CPs are very much welcomed that migration initiative that we put into the market during October. In terms of the alt-nets, some of them that when they originally launched did not put in pricing, inflationary pricing into their contracts. That now exists in a lot of the alt-nets as they try to recover some of the cost pressure that they're under and the revenue pressure that they're under. So I'm not seeing any heightened impact by weaker alt-nets at the moment. And in fact, as I mentioned, what you're seeing in Openreach is this tilt away from retail alt-net line losses to more wholesale. On budget mobile, that was a pure speculative article. EE is doing a fantastic job with convergence and offering the best network in the country for 12 years in a row. And particularly those multi-SIM tariff propositions that are linked to EE One and a solid household relationship is allowing us to compete and defend our base against the value segment because those second, third SIMs in the household were sometimes given to smaller, more value, no-frills types of brands and now EE is picking those up. So our multi-brand strategy and particularly focusing on Plusnet again, was recognizing that the broadband market has a clear value segment that we were not fully exploiting considering the great brand that we have in Plusnet. But we're doing it. We're managing that in a very thoughtful way so that we don't dilute our overall value propositions in the market, but playing to that value segment in broadband.
Operator: Our next question comes from Maurice Patrick from Barclays.
Maurice Patrick: Yes, a question, please, on taxation and investments, if I can, please. I mean you've been pretty vocal around the sort of taxation and rising costs that BT is facing. You called out around national insurance and minimum wage on the call. You talked about overall taxation impacts on BT in previous conferences. Given the sort of noise around the upcoming budgets and possible tax increases, curious to understand your sort of thinking about how you're thinking about the impact of that could be on your business? And just linked to it, I mean, I think if you've done 2.2 million homes passed in the first half, that's well below the run rate for your 5 million full year. I see the comments from Clive about possibly rolling back on the 30 million target. What's the -- I guess, your excitement level around accelerating fiber rollout whilst you have those uncertainties?
Allison Kirkby: Well, I remain excited because our investment into the country's fiber infrastructure and digital backbone is the FTSE's single biggest capital investment over recent years and what I believe is going to be one of the U.K.'s rare infrastructure investment success stories. We have a very constructive and open dialogue with the government on this. They see the value from an economic point of view and a skills point of view of the investment that we're putting into the country. We all recognize the challenges the government are under, but they do and seem to be still very focused on growth, very focused on a pro-investment fiscal and regulatory environment, and our infrastructure investment is a sweet spot for that. I was also delighted to see this morning that they are looking at other international comparisons in other sectors. I think the financial services banking sector was referenced this morning. And that's why with my experience in Scandinavia, I was very keen to call out the scale of government-related costs, whether it be business rates or others that we incur here in the U.K. versus our peers elsewhere to ensure that they have a total view of our position and the risk to their ongoing investment and growth strategy if businesses were again disproportionately impacted by any conclusions coming out of the budget. So -- and that's why we have a great constructive dialogue with the treasury. Simon has a constructive dialogue with the valuation office on business rates, and let's see what happens next. In terms of your other questions, we ramp up the build over the year, and that is still the plan. We are still planning to build up to 5 million homes passed for this fiscal year. There's just phasing by quarter. And we only gave Clive the extra capital towards the end of last fiscal year. And so he's in the process of ramping up. In terms of some of the media coverage this week, as you know, the telecoms access review has not been finalized yet. We have always been clear on what was needed from a competition and an investment and a return point of view to deliver on the first 25 million homes passed, which we'll have reached by the end of next year. In the dialogue and the consultation that we're now having with Ofcom, we are keen that we -- that they retain a pro investment predictable from a regulatory and fiscal policy point of view as they look into the second half of this decade. And until the words are written on the page, clearly, we won't put a commitment to that next 5 million until we understand, will we be able to get a return on that investment similar to what we are getting for this 25 million. So that's why you're seeing that coverage. On that next 5 million, that is really filling out. It's also dependent on further government funding from BDUK because you're getting into some areas of the country that it doesn't make economic sense. Hence, why we got ahead with the Starlink announcement so that we're able to bridge with satellite if we're not able to offer high-speed fiber to some of those homes as well. But it's still our ambition to build to GBP 30 million. We still need to see what Ofcom is going to finalize in the telecoms access review, and we have good constructive dialogue with both Ofcom and with the government on anything that might be coming out in the coming weeks.
Operator: Our next question comes from the line of Carl Murdock-Smith from Citi.
Carl Murdock-Smith: My question is on intragroup eliminations and consumer. So intragroup eliminations grew by about GBP 30 million in H1, following on from growth last year, too. That's largely due to internal revenue growth in Openreach while external Openreach revenues are shrinking. But looking at consensus, it forecasts revenue eliminations declining next year by about GBP 20 million. Why would that happen? Basically, I'm asking whether consensus is wrong, and therefore, consensus revenue forecasts need to reduce due to larger eliminations. And as a follow-up to that, on the impact of those growing internal revenues in Openreach to downstream financials. I'm asking in the context of consumer EBITDA consensus having decreased every quarter for 6 quarters in a row, and you've missed the consumer EBITDA again today. So my question is, are you consciously prioritizing Openreach financials at the expense of consumer because that's certainly what it looks like.
Allison Kirkby: Okay. It is with great pleasure that I will pass the intragroup eliminations questions to Simon, Carl. But let me just before that, just touch on your final question on are we consciously prioritizing. We -- as I said earlier, we have 4 levers for creating value at BT in the coming years. U.K. focus, building the U.K.'s only nationwide network, restoring our retail businesses to growth in a sustainable way with new modern day products and technologies and radically simplifying our business. Consumer has been particularly impacted by the sudden increase in national living wage and national insurance contributions. It's also in the midst of ramping up the migration from PSTN. And those 2 elements we were not able to offset in the first half of this year. But with transformation, which is now ramping up, particularly on the back of AI and other elements, those will dissipate over time. And of course, because I -- we want to get our retail business back to growth, we want to give our customers the best we can in products and services and fiber is one of those, their margin is clearly impacted by the fact that as they migrate to more fiber customers faster than anybody else in the market into a competitive market from a pricing point of view, they have short-term margin pressure from that as well. But it's all a balanced strategy, building the best network and then getting back to growth in our retail businesses. But over time, transformation will offset some of those short-term headwinds and will have EBITDA growing faster than revenue. But now the intra-group eliminations question, Simon. Do you want to build on that as well.
Simon Lowth: Well, I think Carl sort of answered your own question, actually, Carl. I mean the -- quite rightly, you identified that the eliminations are predominantly the sales of Openreach access products, broadband and Ethernet into our downstream units, consumer and business. We have seen strong performance on the consumer base, broadband base as we've stabilized. Our business activities have also performed well. So when you've got a strongly performing BT downstream in consumer and business as a percent of Openreach's revenues, the eliminations will typically grow, and that is what you've seen. I don't think I can add more than that at this point.
Allison Kirkby: Thanks, Carl.
Operator: Our next question comes from the line of Andrew Beale from Arete Research.
Andrew Beale: I'm just wondering where you think you can stabilize international post disposals and structural drags from MPLS and voice. I'm guessing it will be a bit below GBP 2 billion in revenue and maybe, I don't know, GBP 100 million annual EBITDA. And if that's in the sort of right ballpark, are you thinking that the next steps of cost rationalization and growing Global Fabric can get you back consistently into double-digit EBITDA margins? And then you can buy your time a bit to do a JV or disposal. Is that the way to think about it?
Allison Kirkby: Yes. No, that's a very good way to think about it. We are -- now that we have -- so international is not the same as what was formerly known as global. because there were large aspects of global that were related to U.K. multinationals or the U.K. public sector. And so that's all been carved out. So what you now see for this first time is just the international multinational segment without some of these unique businesses, Italy, Ireland, radiance that we've been selling along the way. Now that we've carved out, we can actually properly see the cost base incurred to support that GBP 2 billion of revenue. And it's out of proportion. And so we now have a very clear plan to restructure that business whilst transitioning it to modern day Global Fabric, global voice products and services. But as we said on the call, we already have a plan to get back to EBITDA growth next year and the drag on cash flow will follow soon afterward. That will be diminished and gone soon afterwards. So GBP 2 billion in revenue, GBP 150 million to GBP 200 million in EBITDA is the minimum EBITDA that, that business should be throwing off once it is a more simplified asset. And as I also said on the call, once we've got it carved out now and we have a clear line of sight of how we modernize it, simplify it and make it less dilutive on cash flow, we still see lots of optionality for future partnerships or even consolidation.
Operator: Our final question on today's call is from Nick Lyall from Berenberg.
Nicholas Lyall: Just a very quick one on Openreach and the ARPUs, is all of Clive's discounts and promotions filtered through? Is this a sort of steady state now? Or is there a risk that as you try and sort of fight back in the second half of the year versus particularly in the wholesale market? Will we see Openreach ARPU sliding, do you think? I think you're done plus 4%. So what's the risk to Openreach ARPU for the rest of the year, please?
Allison Kirkby: Don't really see any risk to Openreach ARPUs as I look forward. The demand for fiber continues. The demand for higher speed fiber continues. CPI is looking to be higher in October this year than it was last year and all our pricing goes through as of April. And those discounts and promotions, they only -- they were only launched in October. They're only just now being taken up, and it's very limited in nature, and it's about migrating existing customers on a copper or VDSL network on to fiber and is encouraging a better quality product that brings with the OpEx benefits as well. So we don't see any risk to ARPUs, Nick.
Simon Lowth: Yes, that's it, that we do not.
Allison Kirkby: Yes, great.
Operator: Thank you. That concludes the Q&A portion of today's call. I'll now hand back over to Allison for some closing comments.
Allison Kirkby: Thank you, everybody. As you saw another solid delivery on our strategy. We're making great progress. Really proud of the team that's delivering it and there's much more to come, and I look forward to seeing as many of you as possible in the coming days and weeks. Thank you.